Operator: Good morning, and welcome to Y-mAbs Therapeutics, Inc. Earnings Conference Call for the First Quarter of 2024. [Operator Instructions] As a reminder, today's conference will be recorded.
 I will now hand it over to Y-mAbs' Head of IR, Courtney Dugan. 
Courtney Dugan: Thank you, operator, and good morning, everyone. Welcome to the Y-mAbs first quarter 2024 financial results conference call. We issued a press release this morning -- yesterday, excuse me, at market close. The press release and accompanying slides are available on the IR section of our website.
 Let me quickly remind you that the following discussion contains certain statements that are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.
 Such statements include, but are not limited to, statements about our business model and development, commercialization and product distribution plans, expectations with respect to early trial data, current and future clinical and preclinical studies and our research and development programs; expectations related to the timing of the initiation and completion of regulatory submissions; regulatory marketing and reimbursement approvals, including statements with respect to future development of other development programs; potential for DANYELZA territory and label expansion; and potential of an advancement of SADA; collaborations or strategic partnerships and the potential benefits thereof; expectations related to our anticipated cash runway and cash burn, and the sufficiency of our cash resources and assumptions related thereto; guidance and expectations for 2024 and beyond and our financial performance, including our estimates regarding revenues, expenses and capital expenditure requirements and other statements that are not historical acts.
 Because forward-looking statements involve risks and uncertainties, they are not guarantees of future performance, and actual results may differ materially from those expressed or implied by these forward-looking statements. due to a variety of factors, including those risk factors discussed in the company's quarterly report on Form 10-Q for the quarter ended March 31, 2024, as filed with the SEC on May 7, 2024.
 I would now like to turn the call over to our President and Chief Executive Officer, Mike Rossi. 
Michael Rossi: Thank you, Courtney. Good morning, and thank you for joining us. I have with me today our Chief Financial Officer, Bo Kruse; our Chief Commercial Officer, Sue Smith; and our Chief Medical Officer, Dr. Vignesh Rajah. Thomas Gad, our Founder and Chief Business Officer, will join us for the Q&A portion of this call following our prepared remarks.
 This morning, I will start off by reviewing key financial and operational highlights from the first quarter of 2024, including DANYELZA's sales performance and the clinical progress of our radiotherapy clinical programs, utilizing our Self-Assembly, DisAssembly, Pretargeted Radioimmunotherapy, or SADA PRIT technology platform.
 Next, Sue will provide details around our global DANYELZA sales in the first quarter. Vignesh will then provide updates around our ongoing naxitamab ISS clinical trials. Bo will then provide an overview of our first quarter of 2024 financial performance, our cash resources and reiterate our full 2024 guidance before we open the line for Q&A.
 Let's begin with key highlights for the first quarter of 2024, starting with DANYELZA. As a reminder, DANYELZA's approved by the U.S. FDA for the treatment of relapsed or refractory high-risk neuroblastoma in bone or bone marrow for patients who have demonstrated a partial response, minor response or stable disease with prior therapies. Neuroblastoma is the most common cancer in infants and the third most common cancer in children.
 In the first quarter of 2024, we achieved record U.S. net sales -- product sales of DANYELZA of $18.6 million, up 11% from what we recorded in the first quarter of 2023. We achieved record demand in vials sold of Daniela by further penetrating the top high-volume centers across the U.S. We expect this positive momentum to continue throughout the year.
 From a worldwide standpoint, we achieved global DANYELZA net product sales of $19.4 million in the first quarter of this year, a 4% decrease from the same period in 2023. While the decrease was primarily driven by lower product purchases from international markets in the first quarter of 2024 compared to the prior year as expected, our first quarter total net product revenue came in ahead of our internal projections.
 We remain confident in our full year 2024 revenue guidance as we continue to grow momentum in the U.S. and with our partners in ex U.S. markets. We have 63 sites activated across the U.S. to date, with 5 new accounts added in the first quarter of this year. Our U.S. commercial team has been doing a fantastic job of continuing to penetrate high-volume centers, increasing physician adoption of DANYELZA.
 In addition to the U.S. Our ex U.S. footprint continues to expand through multiple partnerships. DANYELZA is approved and has been launched in China through our partner SciClone, and has been recently launched by our partner, Adium in Brazil and Mexico just a few weeks ago. We look forward to providing further updates on these launches in the coming quarters.
 Our European-named patient program with WEP Clinical is continuing to progress as we support the needs of children with high-risk relapsed and refractory neuroblastoma in Europe. In addition, we plan to submit a BLA for DANYELZA in Argentina this year, and could potentially receive an additional approval in Asia, in Hong Kong, next year.
 We continue to see progress among our ongoing ISS naxitamab trials in support of our indication expansion strategy. In particular, we look forward to Memorial Sloan Kettering's readout from its multicenter Phase II trial investigating naxitamab in patients with relapsed osteosarcoma as we [Audio Gap].
 Now let me shift to the clinical progress of our SADA PRIT programs. Phase I GD2-SADA, our first SADA PRIT clinical program is our GD2-SADA, which is in Phase I evaluating its safety and tolerability. And that is in the treatment of GD2-positive solid tumors, including small cell lung cancer, sarcomas and malignant melanoma. This Phase I dose escalation, single-arm, multicenter safety study has 3 parts, which you can see here.
 Part A explores dose finding for GD2-SADA molecule and the testing of dose intervals of 2 to 5 days between the protein and the lutetium DOTA payload; Part B determines the optimal dose of lutetium DOTA; and Part C evaluates the safety and initial signs of efficacy using repeat dosing.
 We are currently in Part A and are very pleased with how the trial is progressing. We have advanced through Cohorts 1, 2 and 3 and are now dosing patients in Cohort 4. We have dosed a total of 14 patients to date in this trial. We currently have 7 sites open and plan to continue adding additional sites.
 Recall that Part A is -- of the trials investigating the safety profile of the protein and determining the optimal timing to administer the radionuclide. The evaluation is still ongoing. We remain very encouraged by what we've seen so far. To date, no patients in the trial have experienced any dose-limiting toxicities, and there have been no instances of treatment-related serious adverse events.
 Based on the SPECT/CT scans and PK activity we have seen to date, we believe we have demonstrated proof of concept that GD2-SADA can both find and bind to tumors. It is important to note that these early data is not complete, and are not necessarily indicative of the full results or the ultimate success of the trials or the SADA development program. We expect to complete Cohort 5 of Part A component of Phase I study by the end of this year and look forward to present the full data set from Part A at a medical meeting in late '24 or 2025.
 Our second SADA PRIT program is the CD38 SADA, which we plan to first study in the treatment of non-Hodgkin's lymphoma focusing on B and T cell lymphoma. This will be our first SADA program in circulating tumors. Our planned Phase I follows a comparable design to our GD2-SADA Phase I trial, which you can see here. We're on track to activate the first 2 sites in the second quarter of this year and expect recruitment of patients to follow the closing of the contracts.
 We are incredibly excited by the opportunity of our SADA PRIT platform to potentially shift the treatment paradigm across a variety of cancers and potentially even indications beyond oncology. We look forward to providing further updates on our SADA PRIT programs and clinical progress throughout the year, including at the ASCO Annual Meeting and the Society of Nuclear Medicine and Molecular Imaging, or SNMMI Annual Meeting, which both occur in June.
 Shifting gears a bit, I want to take a moment to acknowledge Bo Kruse. As you likely saw in March, we announced Bo's resignation as CFO of Y-mAbs. Bo has served as the CFO for nearly 10 years and has been a valued member of our leadership team throughout his tenure. He has ensured that Y-mAbs is in a strong financial and operational position as he's soon in transitions out of the role and supports us in search of a new CFO. I want to thank both Bo for his dedication to Y-mAbs and his strategic partnership. We wish him all the best as he embarks on his next career journey.
 Additionally, in March of this year, we entered into a separation agreement with our Chief Scientific Officer, Steen Lisby. The separation agreement did not result in a material impact to our financial statements. We wish Dr. Lisby good luck with future endeavors. Our search for our new Chief Scientific Officer is ongoing with a focus on the continued advancement of our novel radiopharmaceutical platform.
 I'm incredibly confident on our entire team as we currently have in place here at Y-mAbs, and I'm really proud of the commitment to patients that each and every one of our team members demonstrates every day. We remain focused on our mission to improve patient lives and execute on our strategy to advance novel therapies through clinical development.
 I will now pass the call over to Sue Smith to provide further color on global DANYELZA sales for the first quarter of 2024. 
Sue Smith: Thank you, Mike, and good morning, everyone. I'm really pleased with the commercial progress of DANYELZA on global scale so far this year. Building on momentum from last quarter, we continue to see the fruits from our enhanced marketing efforts during the first quarter.
 Let me begin with our commercial progress in the U.S. During the fourth quarter of last year, we rolled out a new DANYELZA campaign in the U.S. aimed to reposition and elaborate on DANYELZA's differentiating characteristics in the treatment of high-risk neuroblastoma for patients who have experienced incomplete response to induction therapy in their bone and bone marrow.
 This new campaign allows us to share our data for refractory versus relapsed patients separately and provide more detailed data regarding DANYELZA's performance in 2 different patient populations. Those patients with an incomplete response to induction therapy and patients who are relapsed after prior therapy. The new campaign also demonstrates DANYELZA responses in children rechallenged with DANYELZA after prior GD2 therapy. We continue to expect to see meaningful traction from the new campaign over the coming quarters.
 Our first quarter 2024 U.S. DANYELZA net product revenues increased 11% year-over-year to $18.6 million. The U.S. accounts for more than 80% of DANYELZA sales, and first quarter of 2024 marked a record high in terms of U.S. DANYELZA demand and vials sold. In the U.S., we achieved sales well above the first quarter portion of our internal forecast, with the highest ever number of vials sold in the quarter since initial launched back in 2011 -- 2021, sorry.
 In the first quarter of 2024, U.S. sales, measured in vials, were 9% higher than the fourth quarter of 2023. And March 2024 was the highest month of vial sales in the U.S. ever. Bo will provide further color later during the call.
 Further, the team is focused on multiple U.S. key activities driving performance in the first quarter and beyond. In the first quarter of 2024, the marketing team launched an accompanying enhanced digital campaign. The field sales team is hard at work educating customers on the new data, contributing to DANYELZA's continued growth outside of MSK, with 16% growth in the first quarter of this year versus fourth quarter of 2023. The commercial team also engaged with our key customers with active presence at meetings such as ASCO, AFAN and Tandem transplant meeting during the first quarter.
 A total of 63 accounts have now used DANYELZA around the U.S. Since its initial launch in 2021, with 5 new accounts added in the first quarter of 2024. February 2024 marked the highest number of active sites in -- I'm sorry, my computer just stopped. The highest number of active sites in a single month since initial launch, my apologies. We continue to increase share of sales outside of MSK and now count 60% of ex MSK sales compared to 55% of sales ex MSK in the fourth quarter of 2023. In fact, our ex MSK sales were the best ever in the month of March 2024.
 Physician utilization of DANYELZA also continues to grow. 18 health care practitioners started the patient on DANYELZA in the first quarter of 2024. Since launch, a total of 106 HCPs have prescribed DANYELZA and 31 HCPs have started treatment on 2 or more patients as of March 31, 2024. Our U.S. commercial sales team continues to receive positive HCP feedback on DANYELZA through ongoing customer interactions. In addition, we continue to see institutional adoption of DANYELZA, which was added to 3 hospital formularies in the first quarter of 2024, bringing the total since launch to 44 hospital formularies as of March 31, 2024.
 We continue to see an upward trend of sales growth in the U.S. since initial launch as DANYELZA positively impact patient lives in a highly important area of pediatric neuroblastoma, and it remains a leading therapy in the U.S. anti-GD2 market, we believe we have room for continued growth.
 Now let's turn to our global commercial progress. Our first quarter of 2024 total DANYELZA net product revenues decreased 4% to $19.4 million versus the first quarter of 2023, primarily driven by timing in international purchases. Despite this 4% decrease, total product revenues came in above our internal forecast. This positive start with a promising tone for upcoming quarters, as our team remain steadfastly focused on further market penetration to bring DANYELZA to more pediatric high-risk neuroblastoma patients.
 We continue to receive positive feedback and physician uptake of DANYELZA in China through our partner, SciClone. During the first quarter of this year, our South American partner, Adium, came to an agreement with the Drug Market Regulation Chamber, or CMED, on the price of DANYELZA in Brazil and launched in both Brazil and Mexico just a few weeks ago.
 We look forward to updating you on our continued global commercial progress in the coming quarters, and we remain confident in reaching our total DANYELZA net product sales guidance for the full year of 2024 of between $95 million and $100 million.
 Let me now pass the call to Vignesh. 
Vignesh Rajah: Thank you, Sue. Hello, everyone. I'm pleased to provide a brief update on our ongoing naxitamab clinical trials. We continue to advance potential label expansion opportunities for DANYELZA through our investigator-sponsored clinical studies in collaboration with leading KOLs.
 In the frontline high-risk neuroblastoma setting, our partner, the Beat Childhood Cancer Research Consortium or BCC, is conducting a multicenter Phase II trial evaluating naxitamab in combination with standard induction therapy for patients with newly diagnosed high-risk neuroblastoma. 16 sites have been opened and recruitment is ongoing.
 The trial is expected to transition from a single-arm study, with naxitamab added to the current standard of treatment for induction, to a randomized trial where the control arm will be the standard of care for induction therapy, which is chemotherapy, for which we plan to file an IND.
 Our aim for the randomized trials is to demonstrate superiority and complete response at the end of induction therapy in the naxitamab arm versus standard of care. The BCC expects to potentially initiate a new randomized study in the second quarter of this year.
 In osteosarcoma, we are working with Memorial Sloan Kettering Cancer Center on its multicenter investigator-sponsored trial for naxitamab. We continue to expect MSK to provide a data readout from the Phase I/II trial in the fourth quarter of this year. And based on the outcome of this, we will evaluate plans for our pivotal randomized trial anticipated to be initiated in the second quarter [ Audio Gap].
 In breast cancer, we are partnering with the Ohio State University on a Phase Ib/II trial, investigating TGFbetai NK cells, gemcitabine plus naxitamab in patients with GD2 positive metastatic breast cancer. The first patient is expected to be dosed for DANYELZA in the second quarter of this year. Upon the outcome of this trial, we will consider moving forward with a multicenter Phase II trial.
 In addition, we have partnered with the Institute of Mother and Child in Poland on a randomized Phase II trial, evaluating the efficacy and safety of naxitamab in patients with refractory Ewing sarcoma, which was initiated during the fourth quarter of 2023. Recruitment is ongoing and 3 patients have been dosed in the naxitamab arm to date. We expect a total of 16 patients in that arm. The trial is expected to be completed in 2028.
 The significant treatment gap remains in the anti-GD2 space in both pediatric and adult cancers. We are committed to supporting the advancement of these investigator-sponsored studies through clinical development and working to unlock the full potential value of naxitamab. We look forward to updating you on our progress at ASCO later this month and in the coming quarters.
 Let me now hand the call over to Bo Kruse. 
Bo Kruse: Thank you, Vignesh, and good morning, everyone. As you heard from Mike and Sue, U.S. revenues increased 11% to $18.6 million in the first quarter compared to $16.8 million in the same quarter of 2023, while international revenues decreased by $2.6 million -- $2.8 million in the first quarter compared to $3.4 million in the first quarter of 2023.
 The decline in international revenues was driven by our distribution partner, WEP Clinical, which generated revenues in the first quarter of 2023 of $2.5 million due to an initial inventory stocking order compared to no revenues in the first quarter of 2024. Our global DANYELZA net product revenues of $19.4 million in the first quarter 2023, represented a 4% decrease compared to the same quarter of 2023.
 U.S. DANYELZA net product revenues increased 3% compared to the quarter ended December 31, 2023, when excluding the $0.3 million and $1.3 million impact Medicaid accrual change in estimate recognized as increases in net product revenues in the quarter ended March 31, 2024, and December 31, 2023, respectively.
 DANYELZA net product revenues of $19.4 million in the first quarter of 2024 represented a 17% decrease compared to the fourth quarter of 2023, and was primarily driven by -- the decreased international revenues. We reported $500,000 worth of license revenues in the 3 months ended March 31, 2024, and did not have license revenue for the 3 months ended March 31, 2023.
 Moving to operating expenses. Our research and development expenses decreased slightly by $0.1 million to $13.3 million for the 3 months ended March 31, 2024, compared to the same period in 2023. The decrease was primarily due to a decrease in personnel costs related to our restructuring charge recorded in the quarter ended March 31, 2023, partially offset by a $2.5 million increase in clinical trial costs due to our investments in our SADA PRIT programs in 2024.
 Selling, general and administrative expenses decreased by $0.8 million to $11.4 million for the 3 months ended March 31, 2024, compared to the same period in 2023. The decrease in SG&A for the quarter ended March 31, was primarily attributable to decreased personnel costs related to the restructuring charge recorded in the quarter ended March 31, 2023.
 We reported a net loss for the quarter ended March 31, 2024, of $6.6 million or $0.15 per share basic and diluted compared to a net loss of $6.4 million or $0.15 per share basic and diluted for the quarter ended March 31, 2023.
 As mentioned earlier, we ended the first quarter with cash and cash equivalents of $75.7 million compared to $78.6 million at year-end 2023. The decrease was $2.9 million for the quarter. Importantly, we reduced our quarter cash used from $13.1 million to $2.9 million or by about 78% year-over-year in 2024 compared to 2023.
 Turning now to our guidance. We are reiterating our full year 2024 guidance. We continue to expect full year 2024 total DANYELZA net product revenues to be in the range of $95 million to $100 million. We anticipate operating expenses to be in the range of $115 million to $120 million, and we expect a cash burn for the full year 2024 of between $15 million and $20 million. We continue to expect our cash and cash equivalents to support our commercial operations and pipeline programs as currently planned into 2027.
 As we noted in previous quarters, the underlying assumptions for this guidance are important to understand. For the purpose of this specific analysis of cash runway only, the DANYELZA net product revenues are assumed to increase by 10% each year from 2024 through 2027.
 We hope to see a higher growth rate for DANYELZA as we execute our refined commercial strategy and work to deliver new clinical data that could potentially lead to expanded indications and greater physician adoption.
 In terms of development activities, we have assumed that all of our programs will be advanced at our own expense. No new programs other than our planned studies and trials, I assumed at this point for the purpose of this analysis.
 With a strong balance sheet and focused strategy, we believe Y-mAbs is well positioned to execute on our strategic mission and priorities and to support the delivery of multiple anticipated milestones ahead.
 Now this concludes my financial update. And I will now turn the call back to Mike. 
Michael Rossi: Thank you for that overview, Bo. Now let's open the line for questions. Operator? 
Operator: [Operator Instructions] And our first question comes from Alec Stranahan from Bank of America. 
Alec Stranahan: Just a couple from me. Maybe first for Sue. Where do you see most of the current and near-term DANYELZA growth coming from, is it from activating new centers? Or is it from repeat use from physicians that have already treated patients previously with DANYELZA? And how are you maybe positioning your new marketing efforts to drive this? And then I've got a follow-up. 
Sue Smith: Alec, thanks for the question. The marketing mix for us is a combination of both of the things that you said. I think the majority of the sales is coming from driving more use in the high-volume centers, which is a very big focus for us. And as you heard, we've been added to several -- 3 new formularies in the first quarter, which we're pulling through. So we're very excited about that.
 The new campaign is also opening up greater education around that -- the partial response to induction patient, which is another important lever for us this year. And the new campaign does a very nice job of demonstrating our data and value in that setting. So we increased the breadth and the depth in the treatment with existing and new accounts.
 And I think -- sorry, what was the second part of your question? 
Alec Stranahan: I think you answered it, it is how you're positioning the new marketing efforts. 
Sue Smith: Yes. Yes. Again, it's demonstrating our value in 2 different parts of the patient journey. The patients that have incomplete response to induction separate from the later stage after frontline where they have a relapse after prior treatment. 
Alec Stranahan: Okay. Great. That makes sense. And then maybe one for Mike. You mentioned in your prepared remarks potential to expand SADA beyond oncology, wonder what that could sort of look like and whether there's any example applications you can provide maybe based on your [indiscernible]? 
Michael Rossi: Alec, thank you. As we look at radioactive material and what we do from both the diagnostic and therapeutic. There's opportunities to look at multiple receptor modulated diseases. Where we started in theranostics, 8 years ago was in endocrinology in treating hyperthyroidism, so before it went on to thyroid cancer.
 So as we look at this many receptor modulated diseases, where you need to either decrease the receptor response or to just decrease the overall production of hormones, things like that, you have the opportunity to treat with radioactive materials and treat in a very safe and effective way. So I wouldn't limit us to just oncology. And as we look at the opportunities that lie ahead for these products. 
Operator: And our next question comes from Bill Maughan from Canaccord Genuity. 
William Maughan: I just wanted to take a quick look at ex U.S., DANYELZA. Understanding that bulk ordering and timing of those orders can affect revenue numbers, do you have visibility into vial sales underlying demand? And then just kind of going forward, do you expect -- we appreciate that DANYELZA is being broken out U.S. versus ex U.S. now. Do you expect U.S. to be remain clearly the main driver going forward? Or will the rest of the world, at some point, take some more share of the growth story here. 
Michael Rossi: Bill, thank you for that. And I will let Sue answer the majority of it. But what I will say is as we look at this, we have visibility to some of the bulk orders coming in for the remainder of the year ex U.S. So we're very confident in our forecasting and where we are. Now there will be additional growth as we move into these launch markets and have some real opportunity to continue to grow.
 I think as you look at this, we're in the 80-20 range today with U.S. and ex U.S., with U.S. being the driver. U.S. will continue to be in the driver seat. And because as we continue to grow the U.S., we'll continue to grow the ex U.S. market. But as a direct market, it contributes more to the overall top and bottom lines as compared to ex U.S. So I think that 80-20 mix is something that you'll see without massive spread moving forward, but we may see some additional contribution from the ex U.S. market beyond the U.S. as the U.S. does tend to mature over a period of time.
 And Sue, if there's anything that you'd like to add? 
Sue Smith: I think you said it well. I think we do have meetings regularly with all of our partners. So we have a very good line of sight in terms of the breakout of their assumptions for their forecast and also the activities that they are doing to drive their launches in the case of Adium and their ongoing sales, in the case of SciClone and others.
 So our company is well aligned to their stakeholders of our partner companies and have an ongoing dialogue in terms of the details behind the numbers. So -- and I agree with what Mike said, in terms of the breakout of the 80-20. And I think everyone knows the U.S. is the biggest market in terms of the top and bottom line contribution, which probably will not change moving forward. So... 
William Maughan: Okay. And then just in the U.S. Obviously, DANYELZA is a more important drug to Y-mAbs than Unituxin is to United Therapeutics. So as you continue to grow market share and more doctors start to write DANYELZA, do you -- are you sensing sort of additional counter detailing or pushback from the other competitor on the market? Or do you feel that your share gains are just kind of being tolerated and you can continue to grow along the plans that you're implementing? 
Sue Smith: Well, I think our growth speaks for itself. And we do not hear -- to my understanding, they did not have a sales force. So I think our share of voice is the greatest and from market research, we are recognized as the #1 company in our commitment to pediatric neuroblastoma among treaters. So we continue to build those relationships with the key accounts, and we're not hearing a lot of noise from U.S. WorldMeds. 
Operator: And our next question comes from Etzer Darout from BMO Capital Markets. 
Lukas Shumway: This is Luke on for Etzer. Quick one on CD38 SADA. Do you think that the cadence of data disclosures will follow a similar pathway that GD2-SADA have, like will we get an initial imaging data drop followed by a complete Phase Ia set? 
Michael Rossi: No. But thank you for the question on that. I think as we look at this, there may be some data that we released early just to show kind of where we are. But at the end of the day, I think it's more meaningful to look at a significant number of patients collect that data and come back with the learning.
 As far as the timing of the cadence, the hope is now that we've had GD2 in patients in our 1001 Study that 1201 will recruit a little bit more quickly and we could potentially get some of this -- use the learnings from our 1001 to expedite our 1201. But that being said, my goal would be to put as much meaningful data together, and look at it all in one consistent data release. 
Operator: And our next question comes from David Nierengarten from Wedbush Securities. 
David Nierengarten: I had one on SADA and that is, do you have any patients yet in that have entered into the Part C and kind of where are you on dosing dose escalation for the 1001 Study? 
Michael Rossi: Yes. Thank you, David. No, we're still in Part A, and we have not moved to Part B yet. So where we are, we've done the first 14 patients. We dose escalated up to 3 milligrams per kilogram, and we'll be moving on to our [ fifth ] cohort shortly. However, until we complete Part A, the goal in Part A is to eliminate the 2 variables of protein load and the dose timing to the radioisotope. Once those 2 variables are narrowed down, then we'll move into Part A where we escalate the activity in the isotope, and then move to Part C, which is repeat up to the 5 cycles. 
David Nierengarten: And maybe a quick follow-up, if I could, on the SADA protein dose -- the dose escalation. Do you expect the targeting SADA molecules to have different dosing levels -- depending on the tumor type in the future? Or do you think you'll kind of be able to saturate the target and figure out the radiation dose? 
Michael Rossi: Yes. I think that's part of our learnings moving forward. I mean, so I want the data to take us to the right conclusion. So at this point, we're really trying to determine what the optimal protein load is. And once we determine that, there may be variations from SADA molecule to SADA molecule. There may be some variations patient-to-patient.
 But at the end of the day, we want to make this as simple for health care practitioners as possible, and give both the practitioner and the patient the best opportunity for an effective therapy. So we're taking in all of the data that we can. We'll collect that and then take a qualified step backwards to let the data dictate where we go and what that looks like from both a protein loading and dosimetry perspective. 
Operator: And our next question comes from Mike Ulz from Morgan Stanley. 
Unknown Analyst: This is Roland on for Mike. Just on the DANYELZA trends for the remainder of the year. Are you expecting consistency from quarter-to-quarter? Or do you expect to see more volatility. 
Sue Smith: Thank, Mike. 
Vignesh Rajah: Thank you, Mike. Go ahead, Sue. 
Sue Smith: Sorry. Yes, I think in terms of quarter-to-quarter, there is some seasonality. But again, we reiterate that overall, we anticipate there will be a strong attainment of the global -- I'm sorry, the forecast number for this year. So the consistent trend is there. And with the new programs in place, we're starting to see those kick in. So I think that we'll have a steady growth, perhaps some seasonality in the summer, which we've seen every year since launch. 
Operator: And at this time, there are no further questions. I would like to turn the call back over to Michael Rossi for closing remarks. 
Michael Rossi: Well, thank you all for joining us today to discuss the progress made during the first quarter of this year.
 With strong financial foundation from DANYELZA's commercial success and our responsible capital allocation strategy, we're uniquely positioned to continue top line growth while advancing the clinical development of our differentiated radioimmunotherapy platform, SADA PRIT, and potentially deliver better and safer therapeutic options in the treatment of a variety of cancers.
 We look forward to seeing many of you at upcoming investor and medical meetings, in particular, ASCO and SNMMI. Thank you, and have a great day. 
Operator: This concludes today's conference call. Thank you for attending.